Operator: Welcome to TTEC Holdings, Inc. Fourth Quarter and Full Year 2025 Earnings Conference Call. I would like to remind all parties that you will be in a listen-only mode until the question-and-answer session. This call is being recorded at the request of TTEC Holdings, Inc. I would now like to turn the call over to Bob Belknapp, TTEC Holdings, Inc.'s Group Vice President, Corporate Finance. Thank you, sir, and you may begin.
Bob Belknapp: Good morning, and thank you for joining us today. TTEC Holdings, Inc. is hosting this call to discuss its fourth quarter and full year 2025 results for the period ended 12/31/2025. Participating on today's call are Kenneth D. Tuchman, Chairman and Chief Executive of TTEC Holdings, Inc., and Kenneth R. Wagers, Chief Financial Officer of TTEC Holdings, Inc. Yesterday, TTEC Holdings, Inc. issued a press release announcing its financial results. While this call will reflect items discussed in that document, for complete information about our financial performance, we also encourage you to read our Annual Report on Form 10-K for the period ended 12/31/2025. Before we begin, I want to remind you that matters discussed on today's call may include forward-looking statements related to our operating performance, financial goals, and business outlook, which are based on management's current beliefs and assumptions. Please note that these forward-looking statements reflect our opinions as of the date of this call; we undertake no obligation to update this information as a result of new developments that may occur. Forward-looking statements are subject to various risks, uncertainties, and other factors that could cause our actual results to differ materially from those expected and described today. For a more detailed description of our risk factors, please review our 2025 Annual Report on Form 10-K. A replay of this conference call will be available on our website under the Investor Relations section. I will now turn the call over to Kenneth.
Kenneth D. Tuchman: Good morning, and thank you for joining us today. 2025 was a pivotal year for TTEC Holdings, Inc., one in which we met our financial commitments, improved our balance sheet, and fortified our position as the leader in AI-enabled CX. For the full year 2025, revenue was $2,136,000,000, exceeding the high end of our guidance. Adjusted EBITDA was $214,000,000, reflecting year-over-year growth of 5.6%. We generated $83,000,000 in cash flow and reduced our credit facility borrowings by $70,000,000. This reflects our continued focus on strengthening our balance sheet. Before moving on to our business overview, I would like to point out that our operating improvements and disciplined budget management were offset by a one-time noncash goodwill impairment in the fourth quarter on a portion of our TTEC Digital segment. This was due to the decline in our market capitalization and the annual fair value assessment. While impactful from a GAAP perspective, the impairment was a noncash expense and has no impact on our broader ability to execute our strategy, or the value of our CX technology solutions. Now on to some highlights from the year. We deepened our relationships with our largest clients, capturing an increased share of wallet as they expanded their use of our end-to-end consulting, technology, and managed services portfolio. Sales of new lines of business launched in 2025 to our base were strong in both our Engage and Digital segments, increasing year over year. Across the business, we attracted a substantial number of new clients with our AI-forward and vertical solutions approach. Several of these clients are new to having a CX partner, a shift driven by a data and AI landscape that has become too complex for clients to navigate alone. We grew our strategic technology partnerships as we collaborated on new client sales opportunities and innovative solution development. Our professional services with these technology partners grew 16% outside of our legacy CCaaS practices. We continue to increase the penetration of our AI-enabled solutions with our embedded base and are integrating this innovation functionality in every new TTEC Engage and TTEC Digital opportunity. We expect we will achieve near 100% AI adoption with our current clients by the end of this year. And importantly, we continue to invest in our global team of CX engineers, consultants, data analysts, and associates, earning Great Place to Work certification in 15 countries, several more countries than last year. Before we move into the discussion of our segment performance, I would like to share some thoughts on the current macro environment. Clearly, there is an AI overhang casting a shadow over valuations for CX, IT, and SaaS-based business services companies. We are fully cognizant that over time, there will be an impact on lower-value interactions which are part of the current $400,000,000,000 TAM. However, the opportunity is sufficiently large to support the companies serving the market today, let alone the new solutions that are emerging. Based on our experience, AI is not eliminating the need for CX; it is making it more effective. By automating routine transactions, it is enabling humans in the loop to focus on the high-stakes interactions that define a brand. But even as we navigate the fastest tech adoption curve in history, we must remain mindful that the promise of AI is only as good as its execution. Success lies in balancing this rapid innovation with the operational realities required to deliver a seamless, human-centric experience. Our point of view is shaped by several market realities. One, transformation requires a long runway. It took almost 30 years from the Internet’s debut to achieve total global integration. It demanded decades to build the infrastructure, technology, tools, and adoption to achieve worldwide ubiquity. Two, systems sprawl is massive. Today, the average Fortune 1,000 company operates hundreds of software applications and technology systems, both in the cloud and on premise. Although not all of them are required for CX, less than a quarter of them are integrated. Three, internal cultural adoption creates a bottleneck. According to a recent Bain & Company study, 88% of business transformations fail to achieve their goals because of lack of organizational readiness and employee alignment. Success requires businesses to rethink how they organize, empower, train, and measure the effectiveness of their people and AI counterparts. And finally, technology is only as valuable as the end consumer’s willingness to use and trust it. Just as the EV market shifted towards hybrid cars when consumers demanded the security of traditional engines alongside new tech, CX is entering a hybrid era where consumers appreciate the potential convenience and personalization of AI, but demand the trust and authenticity of a human in the loop for high-value complex interactions. In this environment, enterprises are seeking guidance and expertise like never before. They are looking to architect modern data estates, integrate disparate systems, and redefine workflows. In some cases, rather than struggling to do it themselves in-house, they choose to work with an end-to-end partner like TTEC Holdings, Inc. This convergence of complexity and urgency is exactly where we excel. We do not just provide the technology or the people. We provide the strategic CX bridge that turns AI potential into operational reality. With 42% of general AI initiatives failing due to lack of depth, companies are shifting budgets to CX specialists like us who do not just know AI but have the precious final mile CX experience to move fast, remove risk, and deliver brand differentiation. To achieve the full potential of our unique platform, we continue to build on our strong leadership foundation with new talent. I am pleased to announce several key appointments that will further accelerate our strategic road map. Alfredo Rizzo, a long-standing leader with our TTEC Digital organization, has moved into the newly created role of Chief Technology Officer of TTEC Holdings, Inc., reporting directly to me. His deep institutional knowledge, client-centric experience, and AI-first approach will be vital as he fast-tracks our efforts to deliver Generation AI solutions at scale. Joining him is Ramki Desai Raju, our new Chief Operating Officer at TTEC Digital. His deep domain expertise gained at IBM, among others, will help us further bridge the gap between operational excellence and technology-enabled transformation, ensuring our digital initiatives continue to deliver measurable impact for our clients. Now I will turn to a discussion of our business segments. Let us start with the digital CX segment Engage. As planned, we delivered solid progress this quarter as we continue to advance our transformation agenda with a disciplined focus on profitable and sustainable growth. We are seeing encouraging traction across the business as clients increasingly turn to us for modern, digital-first, CX solutions and operational excellence. We are expanding our role by introducing new vertical-specific solutions, increasing cross-sell of digital capabilities, and consistently delivering on the priorities that matter most to our clients. At the same time, our new client pipeline reflects healthy momentum, attracting world-class brands that are seeking AI-forward CX solutions to deliver the highest quality interactions. We remain disciplined in our pursuit of operating leverage and margin expansion. Our digital-first strategy is yielding significant efficiencies, and our strengthened leadership team has energized our frontline performance as well as continued to optimize our global delivery mix. We are focused on winning new business that meets our profitability expectations. In parallel, we are working to optimize a few underperforming contracts. While this creates a temporary revenue headwind in 2026, it secures a healthier client portfolio, superior margins, and a more resilient growth profile. Ultimately, these deliberate actions ensure we are not just growing, but growing profitably and sustainably. Turning to TTEC Digital. We continue to evolve our professional and managed services to meet the changing needs and priorities of the market. Clients are looking to us as experts to help them navigate their digital evolution because we specialize in building value through the strategic application of data, AI, and automation. We are helping ensure that every innovation translates directly into disciplined, measurable business outcomes. While these engagements may begin smaller than traditional CCaaS migrations, they are highly strategic and sticky. They leverage our expertise in the application of AI, data analytics, consulting, journey orchestration, and systems integration. Because of our fluency with all the major CX technologies, these engagements often benefit from the network effect where they expand into multiphase professional and managed services relationships. The shift is broadening our addressable market, increasing both our share of wallet in existing clients and attracting new ones. Our technology-agnostic approach, combined with our ability to rapidly pilot use cases across all major hyperscalers, is positioning us as a trusted partner for complex, multiplatform CX transformations. As a result, we are seeing growing demand for adjacent services and strong momentum in professional services pipelines and bookings. Our partnership with a global travel and hospitality brand is one example of how our ability to combine consulting, technology, and analytic insight is driving sustainable growth. Our relationship began when this enterprise was facing a critical end-of-life cliff with their on-premise contact center technology. They brought us in initially to mitigate risk and assess their path forward. Fast forward four years, that tactical engagement has evolved into a complete digital transformation that will persist well into the future. We have modernized their foundation by successfully migrating them to an integrated CCaaS/CRM platform. We have architected a modern data estate with a clean, unified data environment required for advanced CX. And we activated AI by deploying generative AI functionality to personalize guest interactions at scale. We fundamentally moved this client from a high-risk, high-cost legacy environment to a high-reward, AI-ready CX engine. Their CX operations are no longer a cost center. Today, they are primarily a driver of revenue growth and long-term customer loyalty. This is the blueprint that we are now scaling across multiple clients. Digital-first automation handles low-complexity tasks, reserving human expertise empowered with AI for authentic, empathetic, white-glove moments. It demonstrates what can happen when we change the conversation from managing cost to mastering outcomes. As a global consulting, technology, and managed services company delivering solutions at the intersection of data, AI, and customer experience, we are evolving our business to capitalize on the massive opportunity before us. Which brings me to our financial resilience. We expect to continue delivering EBITDA growth while revenue in each business segment is anticipated to be slightly down this year. As we codify the next generation of the CX playbook, we are proactively remixing our solutions, delivery models, and commercial constructs. Regarding our stock price, it is our view that the current valuation does not reflect the differentiation and value in our business. Obviously, entire sectors have been put under similar pressure and are being treated as though they have no terminal value. Our strategy remains focused on the factors that we control and on building an enduring business for the long term. While we are collaborating with financial advisers and our banking partner on our credit facility, the business performance continues to improve with a stronger balance sheet and cash flow. These efforts will enhance our long-term flexibility, supporting both our operations and innovation agenda. As we pivot to the year ahead, we remain focused on returning the company to its historic growth and margin profile, prioritizing high-yield complex client engagements with ample opportunity for growth, expanding our role as a strategic end-to-end transformation partner, driving differentiation through vertical solutions and proprietary IP, deepening our technology partnerships, continuing to improve efficiency through AI and automation, and investing in specialized talent with deep vertical CX operational and technical expertise. These priorities are the critical path for continued success. By leveraging our unique end-to-end solutions and investing in our people, platform, and strategic partnerships, we will continue to capture the demand for AI-enabled CX solutions well into the future. I continue to appreciate and value the dedication and support of our board and talented teams across the globe. I will now hand it over to Kenneth.
Kenneth R. Wagers: Thank you, Kenneth, and good morning. I will start with a review of our fourth quarter and full year 2025 financial results before providing context into our 2026 full year financial outlook. In my discussion of the fourth quarter and full year financial results, reference to revenue is on a GAAP basis, while EBITDA, operating income, and earnings per share are on a non-GAAP adjusted basis. A full reconciliation of our GAAP to non-GAAP results is included in the tables attached to our earnings press release. On a consolidated basis for fourth quarter 2025 compared to the prior-year period, revenue was $570,000,000, a slight increase over the prior-year period of $567,000,000. Adjusted EBITDA was $62,000,000, or 10.9% of revenue, compared to $51,000,000 or 9%. Operating income was $48,000,000, or 8.4% of revenue, compared to $35,000,000 or 6.2%. And earnings per share was $0.47 compared to $0.19. Foreign exchange had a $4,000,000 positive impact on revenue and a $1,000,000 negative impact on operating income in the quarter compared to the prior-year period, primarily in our Engage segment. Now turning to our consolidated full year 2025 financial results. Revenue was $2,140,000,000 compared to the prior year of $2,210,000,000, a decrease of 3.2%. Adjusted EBITDA was $214,000,000, or 10% of revenue, an increase of 5.6% or 80 basis points over the prior year of $202,000,000 or 9.2%. Operating income was $155,000,000, or 7.3% of revenue, compared to $136,000,000 or 6.2% in the prior year. Earnings per share was $1.10 compared to $0.71 in the prior-year period. Foreign exchange had a $3,000,000 positive impact on revenue, and a $4,000,000 positive impact on operating income over the prior year, primarily in our Engage segment. At the company and segment level, our full year financial performance was in line with the guidance expectations previously communicated, with revenue exceeding the high end of full year guidance range, while profitability came in near the low end of guidance. Turning to our fourth quarter and full year 2025 segment results. In our Engage segment, fourth quarter revenue decreased 1.8% over the prior-year period to $444,000,000. Operating income was $36,000,000, or 8.1% of revenue, an increase of 62% or 320 basis points compared to $22,000,000 or 4.9% of revenue in the prior year. Engage fourth quarter revenue and operating income were in line with our expectations as healthcare seasonal volumes delivered $22,000,000 of additional revenue compared to the prior year. As mentioned in our previous earnings, a significant portion of the investments related to the seasonal ramps and certain other growth clients were made in the third quarter, resulting in fourth quarter year-over-year profitability growth and margin expansion. The healthcare growth was offset by a decline in the public sector portfolio due to the loss of a large client we had previously communicated, which was at lower margins and thus had a nominal impact on operating income. We are pleased with our Engage segment's fourth quarter financial results, and the profitability improvement that not only drove significant growth in the quarter, but more than offset the third quarter decline and resulted in overall second-half margin improvement compared to the prior year. On a full year basis, the Engage 2025 revenue was $1,670,000,000, a decrease of 4.6% compared to $1,750,000,000 in the prior year. Operating income was $101,000,000 or 6.1% of revenue compared to $85,000,000 or 4.9% in the prior-year period, representing an increase of 18.8% and margin expansion of 120 basis points. The Engage revenue exceeded the high end of our full year guidance. Our focus on increased profitability was reflected in the year-over-year operating income growth and margin expansion delivered despite the decline in revenue. The profitability improvement was a result of our deliberate actions taken over the last 18 months where we realigned our cost structure, improved operating efficiencies and effectiveness, and continue to increase our offshore revenue mix. We also added new leadership, which helped drive these accomplishments. The Engage backlog for the next 12 months is $1,480,000,000, or 92% of our 2026 revenue guidance at the midpoint of the range, down from 96% in 2025. The Engage last 12-month revenue retention rate is 95%, compared to 82% in the prior year. Now moving to our Digital segment. Fourth quarter revenue was $125,000,000, a 9% increase over the prior year of $115,000,000. Operating income was $12,000,000, or 9.4% of revenue, compared to $13,000,000 or 11% in the prior year. The Digital fourth quarter revenue increase was driven by product resale, which drove $15,000,000 of additional revenue over the prior year. The overall revenue mix, however, drove a lower operating income and margin as recurring revenue declined 5.6% and professional services were slightly down 1.6% in the quarter, compared to the prior year. On a full year basis, Digital's 2025 revenue was $469,000,000, compared to $459,000,000 in the prior-year period, an increase of 2.2%. Operating income was $54,000,000 or 11.5% of revenue compared to $51,000,000 or 11.2% in the prior year. The full year Digital revenue growth was largely attributable to product resale, which nearly doubled compared to the prior year, increasing $24,000,000. This increase was due to multiple deals with clients that have yet to migrate to cloud-based CX delivery solutions. We believe over time, these product resale opportunities will diminish in the market. This revenue also included the sale of IP software closed in 2025 for $4,000,000. Excluding the product resale, Digital revenue declined $14,000,000, or 3.2%. This reflects the ongoing market shift, which is moving away from traditional CCaaS point solutions to partners that provide end-to-end transformative CX solutions optimizing clients' existing platforms. As a result of this shift, Digital full year 2025 recurring revenue declined 4% compared to the prior year. Professional services were slightly down year over year by 1.5%. However, professional services related to our expanded partnership network grew 15.8% outside of the traditional CCaaS offerings. Although the revenue mix came in less favorable than forecasted over the prior year, we are pleased with the full year Digital operating income growth and margin as cost and utilization management were high priorities. Our Digital backlog for the next 12 months is at $287,000,000, or 67% of our 2026 revenue guidance at the midpoint of the range, up slightly from 66% in the prior year. Before I discuss other financial metrics, I will address the noncash goodwill impairment charge and the related tax adjustment recorded in the fourth quarter. In ordinary course, we perform goodwill impairment analyses in accordance with GAAP on an annual basis during the fourth quarter, unless a triggering event requires a more frequent analysis. During the annual goodwill impairment analysis, the company elected to perform a quantitative evaluation of all of its reporting units. Based on this analysis, which reflects upon financial projections and market-based metrics, the fair value of our Digital recurring reporting unit decreased below its carrying value and resulted in a $193,000,000 noncash impairment charge. This was primarily due to industry dynamics that are shifting our legacy recurring managed service offerings from point solutions related to contact center technology, to optimizing existing environments through AI-led consulting, journey orchestration, and data and analytics services. This type of impairment is a reality in the technology services sector where previously acquired technology-related companies are impacted by changing market conditions. Our Engage and Digital professional services reporting units' fair value remains in excess of their respective book values, and are not impacted by the impairment. The tax impact of the Digital impairment created a net incremental noncash charge of $12,000,000, further reducing the carrying value of the reporting unit and bringing the total impairment charge to $205,000,000. Please refer to our Form 10-K for more details on the impairment and related tax impact. As Kenneth mentioned, while impactful from a GAAP reporting perspective, the impairment and the tax valuation allowance were a noncash expense and do not impact our broader strategies and capabilities nor the value of our CX technology solutions. These charges are normalized in our non-GAAP reconciliation calculations. I will now share other 2025 metrics before discussing our 2026 outlook. Free cash flow was a positive $83,000,000 in 2025 compared to a negative $104,000,000 in the prior year, which, as previously discussed, was impacted by the discontinuation of the accounts receivable factoring facility. Normalizing for the prior year, the year-over-year improvement was $86,000,000. This was due to a $79,000,000 increase in cash flow from operations, and reduced capital expenditures of $7,000,000. The significant increase in cash generation reflects our keen focus on improving profitability and working capital management. Capital expenditures were $38,000,000, or 1.8% of revenue, for the full year 2025, of which 60% was growth related. This compares to capital expenditures of $45,000,000, or 2% of revenue, in the prior year. The 2025 growth-oriented spend was primarily driven by product development and technology and real estate investments in support of client growth and expansion. As of 12/31/2025, cash was $83,000,000, with $908,000,000 of debt, primarily representing borrowings under our recently amended $1,050,000,000 revolving credit facility. The net debt position of $825,000,000 represents a year-over-year decrease of $68,000,000. As defined under the credit facility, we ended 2025 with a net leverage ratio of 3.58 times, compared to 3.99 times at the end of the prior year. As demonstrated by our improved cash flow generation and reduction in net borrowings, deleveraging and strengthening our balance sheet remain top priorities. We are confident that our 2026 outlook provides the cash flow needed to further reduce our debt and invest in the business to meet our strategic objectives. Our full year normalized tax rate was 37.1% in 2025, compared to 40.9% in the prior year. The decrease is primarily due to the jurisdictional mix of income and the impact of valuation allowances globally. Now transitioning to our 2026 outlook. I will now provide some context supporting our full year financial guidance. Related to our Engage segment, we expect a decline in revenue of approximately 4%, primarily due to the rationalization of certain clients and lines of business that are underperforming to our target profitability and the ongoing initiative of moving and growing our revenue to offshore locations. We expect the year-over-year revenue declines to be concentrated in the first half of the year while flattening out in 2026. Engage profitability is forecasted to continue its growth trajectory, benefiting from the profit initiatives implemented over the last 18 months. Margin expansion will be further driven by the rationalization of certain client programs where we have or will wind down unprofitable revenue. We also continue to prioritize our shift of existing and new business to offshore geographies. Although these actions negatively impact our top line growth in the near term, they are essential to further improve profitability and continue our drive towards historical margins. In our Digital segment, we are forecasting a revenue decline of 8.4%, primarily driven by the decrease in product resale as fewer opportunities remain given the number of clients that we are transitioning to cloud-based CX delivery solutions. Although the revenue decline is significant, these lower-margin deals have less of an impact on profitability. Recurring revenue is expected to decline due to the managed services related to our traditional CCaaS partners, however, the revenue growth is less pronounced as a higher volume of this work is being delivered offshore. Turning to the midpoint of our 2026 guidance, as outlined in greater detail in our fourth quarter and full year 2025 earnings press release: GAAP revenue of $2,030,000,000, a decrease over the prior year of 5%; adjusted EBITDA of $230,000,000, an increase of 7.6% over the prior year and 11.3% of revenue, compared to 10% in the prior year; non-GAAP operating income of $169,000,000, an increase of 9% over the prior year and 8.3% of revenue, compared to 7.3% in the prior year; non-GAAP earnings per share of $1.19, an increase of 9% over the prior year. Other relevant guidance metrics include capital expenditures between 1%–2% of revenue, of which approximately 60% is growth oriented. A full year effective tax rate between 38%–42%. We expect the phasing of our profitability to be more weighted in 2026, with approximately 52% of our revenue coming in the second half of the year, based on our historical seasonal trends. Please reference our commentary in the business outlook section of the fourth quarter and full year 2025 earnings press release to obtain our outlook for the full year 2026 performance at the consolidated and segment level. In closing, we are pleased with our full year 2025 financial performance, increasing our profitability and expanding our margins across both segments, despite an overall modest decline in revenue. We also significantly increased our free cash flow and reduced our borrowings. This was accomplished against the backdrop of an evolving market in both our Engage and Digital segments. We are committed to continuing this performance in 2026 by further increasing our EBITDA and operating income, expanding our margins, and reducing our debt. We remain focused on higher-value transformational engagements across both segments and have the discipline and confidence to deliver on our 2026 full year outlook. I will now turn the call back to Bob.
Bob Belknapp: Thanks, Kenneth. As we open the call, we ask that you limit your questions to one at a time. Operator, you may open the line.
Operator: You would like to ask a question, please press star and then the number one. Please unmute your phone and record your name clearly when prompted. Your name and company name are required to introduce your question. To cancel your request, please press star and then the number two. Our first question comes from the line of George Frederick Sutton of Craig-Hallum. Sir, your line is open.
George Frederick Sutton: Thank you. Ken, you said something interesting that you thought nearly 100% AI adoption by the enterprises you are working with by year-end 2026. And I am just curious if we could look at sitting here at the beginning of 2026 versus the beginning of 2027 and what kind of ongoing work do we have with those customers relative to helping them deploy the AI.
Kenneth D. Tuchman: Good morning, George. Well, first of all, understand that when we use the term AI, it is so ambiguous. When we make that statement, what we are referring to in general is the AI that we are utilizing to enable our associates to do their job, AI that we are utilizing in our talent acquisition and recruiting, AI that we are using in quality assurance, AI that we are using overall to empower all of our AI that we are utilizing internally, to make ourselves more efficient, etcetera. So, ultimately, our goal is that every single client of ours is taking advantage of everything from accent neutralization technology to our language translation technology where we can translate in real time from any language to any language, etcetera. Where I think you are probably going is AI as we utilize it, not just only to assist the associate to be better, faster, and more proficient, but also the ability to provide certain aspects of interactions that are self-service. And so we are very diligently working with clients that are open to and interested in helping them with their low-value transactions versus interactions that add no real value in cross-selling, upselling, building trust, building loyalty, maintaining retention, increasing wallet share, etcetera, and automating those with what we call an agent or human in the loop that can come in at any point in time to assist should there be a need to assist, or if it moves to something that is more complex or more higher value, etcetera. And so we are very focused in this area. We have been working with these technologies, as you know, for frankly, before AI was there was even a hype cycle on AI. And now it is really just a matter of which clients are actually ready and willing to start to adopt some of the capabilities where we can provide this on the front end from a self-service standpoint, which leads us more to futuristically our goal of outcome-based pricing. So we will achieve 100% by the year end, which means that at minimum, our clients are taking advantage of all of the internal tools that we utilize to make our people better and to drive higher quality, more accuracy, etcetera.
George Frederick Sutton: Understand. Thank you for the perspective.
Kenneth D. Tuchman: Thank you, George. Thank you.
Operator: Thank you. Our next question will be coming from Margaret Nolan of William Blair. Your line is open.
Margaret Nolan: Thank you. Maybe to ask that a little bit differently, how do you expect the mix of revenue to shift between project-based and recurring revenue over the next couple of years?
Kenneth D. Tuchman: That is a really good question, Margaret. I am not sure that I actually can give you a number with any level of precision. I guess are you asking me, is that another way of saying, what percentage of the business will be that we currently classify as Digital versus Engage? Or are you asking me, as it relates to the Engage business, what percentage of that business will be more AI focused? So maybe if you could just give me a little bit more direction on your question.
Margaret Nolan: Yeah. The original thought was sort of there is probably likely a mix shift between Digital and Engage, but the second question is extremely interesting as well. So any and all of the above.
Kenneth D. Tuchman: Well, look. Our focus on Digital is for the business to drive, on average, a 50% recurring revenue, and we are currently achieving that, maybe even a bit more than that. And so if that partially answers your question, that is certainly the focus. As far as I am not I just want to make sure that I am still tracking your question. As it relates to Engage, and how we see the future of where that business goes, we absolutely see the future over time where more and more technology is infused in Engage and where we are pricing our services as much more of a turnkey offering that is tied to solutions and definitive outcomes. The reality, Margaret, and I know I am guilty of maybe over pontificating, so I apologize, but the reality is that what we find because of the size of the clients that we deal with, which tend to be in kind of that Fortune 500 category, is that when you get past all the AI hype that it is going to eventually brush your teeth and do everything else, what our clients are realizing is that with the amount of systems that they have, and the overall amount of silos that they have and the amount of systems that do not actually even talk to each other, that there are only certain things that they can take advantage of with AI in order for it to be impactful. And so what we are doing is we are focusing on what we can provide them with technology that takes advantage of AI right now with their current situation while we are also trying to demonstrate to them how we can help them build a modern data estate so that they can ultimately take advantage of far more AI. And, again, I am not here to give a lecture or whatever, but what the Street is absolutely positively missing is that the time that it is going to take for these large companies to synergize, so to speak, or create synchronicity of their data, it is not going to be measured in months. It is going to be measured in years. And that is not according to Kenneth Tuchman. That is according to the CIOs of virtually every major client that we have. So that is my way of saying that we are going to attack the parts of their systems that we can and that they will allow us to have access to. But the reality is that the hope that the HAL 9000 is going to take the human out of the loop is, I think, more distant than many people might be estimating. So I am sorry if I dragged that out too much, but hopefully, I am answering your question.
Margaret Nolan: Thanks, Ken.
Kenneth D. Tuchman: Thank you.
Operator: Thank you. Our next question will be coming from Jonathan Lee of Guggenheim Partners. Your line is open.
Jonathan Lee: Great. Thanks for taking my questions. First question for me, you highlighted revenue headwinds from offshore mix shift. Can you help us size how much more of your current onshore revenue might still be at risk from that mix shift dynamic?
Kenneth D. Tuchman: Well, first of all, we do not view it necessarily as a negative. We view it as a positive, and it is actually a focus of ours and an imperative to work with our clients and work with our especially our new clients in shifting to offshore. So, currently, 80% of our entire net new sales pipeline is all targeted offshore. As it relates to the embedded base that we currently have that is onshore, I would say that it is actually a fairly limited number, and it is not because we would not like it to be a higher number. But remember, we do a fair amount of public sector and federal work, healthcare work, and financial service work, and a lot of that work requires highly skilled licensed employees and it is not legal for them to operate outside of the United States. So what I would say is that it is really giving us other lines of business that we can focus on to move offshore. And there are certainly some clients that we currently have that are considering certain aspects of the business to potentially go offshore. But it is somewhat limited, just due to the nature of the segments that are currently onshore and the regulatory aspect.
Jonathan Lee: Ken, thanks for that color. But I think we were trying to size the current onshore revenue that might still be at risk, not necessarily the net new portion of the work that you had highlighted earlier.
Kenneth D. Tuchman: Well, I am sorry, I thought I answered that. What I am saying is you mean at risk to go offshore? Or what?
Jonathan Lee: At risk to go offshore. Not necessarily the net new portion of the work that you had highlighted earlier.
Kenneth D. Tuchman: Yeah. And what I am saying is that the majority of the revenue that we have onshore, we legally, we do not have the ability or the client does not have the ability to move offshore under the current regulations, which have existed for many, many years. So I thought I answered that. So the answer is, I cannot give you an exact number, but what I can tell you is that the healthcare clients, which is a significant portion of our business, and the federal and public sector business, the part that we do that is regulated, cannot and will not be moved offshore unless the laws were to change. And my guess is that is not happening.
Jonathan Lee: Got it. Thanks, Ken. Just as a follow-up, you know, understand that you are obviously investing in AI. Can you help us understand how you are defending against enterprise clients that may be pushing you to pass on the AI efficiency savings to them.
Kenneth D. Tuchman: Well, you know, thus far, that is actually not even that is not so far, we are not actually encountering that. That is not to say that over time as AI more or less commoditizes that we will not feel that. But right now, clients are in such need of advisory work on how to take advantage of AI and just our unique ability to integrate to their systems. Because for over 25 years, we have done deep systems integration into all of our client CCaaS systems, etcetera, that that has just not been a focus. But I think more importantly, maybe another way of putting it is we absolutely plan, as we start to demonstrate to clients how we can take low-value transactions, transactions that typically we do not even handle today, it is not part of our focus of our business, and how we can help them automate them, and how we can get rid of their IVR and install agentic capabilities on the front end to determine the purpose of the call, to gather information, etcetera. Our goal is absolutely to share some of the upside, or the benefit, of the cost. And frankly, I would expect the whole industry to be doing that because it is a way for us to garner net new business by us showing the industry or the client base that we can have an impact on their cost to serve, and that is a huge focus of ours: how can we demonstrate to them that we can deliver the highest possible call quality at a lower cost to serve. And so if you are asking me, are they pressuring us for that? No. If you are asking me, are we volunteering that as it relates to when we are showing them aspects of areas that are currently not being handled in an AI way that we believe can and will not diminish the loyalty or relationship of the customer, 100%. And what I want to just stress, and I know I sound like a broken record on this, but it is really important for people to understand this. This industry is still $400,000,000,000. Every single analyst report that has come out, whether you know, I am technically not supposed to use the analyst names, but you know who they are, the Gartners and the Forresters and so on and so forth, every single one of them has said that net human contact center agents over the next 36 months will increase, not decrease. Now, do we think over time they will decrease? We absolutely do. And, frankly, we are okay with that. And the reason why we are okay with that is we are a little $2,000,000,000 company. And when there is a $400,000,000,000 TAM, AI could have a significant impact on the human aspect of it and we as a company could still be multiples the size that we are. At the end of the day, there are really only five to eight players in the marketplace that are consistently being considered for the large deals that are out there. And those five to eight players make up well under $50,000,000,000. When you do the overall math, that there is a $400,000,000,000 TAM, the reality is we have a long way to go. Because right now, where the new business is coming from, for the most part, is captives that are letting air out of the tires and they are starting to release business from their captives. And captives right now is a $300,000,000,000 total addressable market. And none of that includes the size of the AI and data analytics market that we are focused on, which we estimate is somewhere in the $500,000,000,000–$600,000,000,000 range. So there is so much greenfield opportunity out there that we are embracing AI as absolutely something that is very positive for our business on a go-forward basis.
Jonathan Lee: Thanks, Ken.
Kenneth D. Tuchman: Thank you.
Operator: Thank you. Our last question is from Vincent Alexander Colicchio of Barrington Research. Your line is open.
Vincent Alexander Colicchio: Yeah. Ken, to what extent are you benefiting from consolidation, or do you expect to benefit from consolidation, given your expanded footprint and the increasing complexity of technology?
Kenneth D. Tuchman: So do you mean consolidation of clients consolidating the number of partners that they have? Because if that is the question, going on for the last eight or 24 months, and we think that that is going to that is currently taking place. We think that is going to over time accelerate as clients realize that the concept of having 10 vendors makes very little sense, especially when of the 10 providers out there, most of them do not have deep technological capabilities. And we believe that the majority of all new business out there is going to require somebody that has the ability to provide various different aspects of technology to help them become more modernized. So if that is the question, do I think there is going to be more consolidation? I do. And I think that the marketplace is already really bifurcated to what I would call third-tier type, second-tier type companies out there that can only compete on price and lack capability, and the scale players that have the right geographies that clients are looking for, but also have, more importantly, the right technology to apply.
Vincent Alexander Colicchio: You did answer the correct question, and, you know, I am assuming that some of the companies that lack scale cannot keep pace in terms of their technology capabilities, and I think you answered that.
Kenneth D. Tuchman: Is there anything else I can add to that? Or
Vincent Alexander Colicchio: No. You answered the question.
Kenneth D. Tuchman: Alright. Well, thank you.
Operator: Thank you for your questions. That is all the time we have today. This concludes TTEC Holdings, Inc.'s fourth quarter and full year 2025 earnings conference call. You may disconnect at this time.